Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Comtech Telecommunications Corp. First Quarter Fiscal 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session [Operator Instructions]. As a reminder, this conference is being recorded, Wednesday, December 04th, 2019.I would now like to turn the conference over to Mr. Jason DiLorenzo of Comtech Telecommunications. Please go ahead, sir.
Jason DiLorenzo: Thank you. Welcome to the Comtech Telecommunications Corp. conference call for the first quarter of fiscal year 2020. With us on the call this afternoon are Fred Kornberg, Chief Executive Officer and President of Comtech; Michael D. Porcelain, Senior Vice President and Chief Operating Officer; and Michael Bondi, Chief Financial Officer.Before we proceed, I need to remind you of the Company's safe harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the Company, the Company's plans, objectives and business outlook, and the plans, objectives and business outlook of the Company’s management. The Company’s assumptions regarding such performance, business outlook and plans, are forward-looking in nature and involve significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the Company’s Securities and Exchange Commission filings.I am pleased now to introduce the Chief Executive Officer and President of Comtech, Fred Kornberg. Fred?
Fred Kornberg: Thank you, Jason and good afternoon everyone and thank you for joining us in this call. Today, we will be in the results for our first quarter of fiscal 2020. As you can see from our earnings announcement, we're off to a great start, and we believe our performance to-date provides a solid foundation for what we anticipate will be a year of both revenue and adjusted EBITDA growth.In fact, we're increasing our targeted fiscal 2020 net sales to be in the range of approximately $712 million to $732 million. We're also increasing our targeted adjusted EBITDA to be in the range of $99 million to $103 million. Also targeted is the GAAP diluted EPS range of approximately $1.28 to $1.42. As you can see, our strategic initiatives are paying off and fiscal 2020 is looking very, very strong.Now let me turn the call over to Mike Bondi, our CFO, who will provide a discussion of our first quarter financial results. After that, Mike Porcelain, our COO, will provide a discussion of our business segments and an overview of recently announced planned acquisition of UHP Networks Inc. And then I'll come back before opening it up to questions and answers.And now, let me hand over the Mike Bondi. Mike?
Mike Bondi: Thank you, Fred and good afternoon everybody. Our net sales for the first quarter of fiscal 2020 were $170.3 million. This is an increase from the $160.8 million of net sales reported in Q1 of fiscal 2019. From a geographic perspective, net sales in the first quarter of fiscal 2022 to U.S. based customers were 76.9% of total net sales with 23.1% to international customers.Bookings for the first quarter were solid at $135.6 million and our consolidated book to bill ratio was 0.8. As Mike Porcelain will discuss, this does not include the full amount of certain contracts either one or that we have been informed we will receive shortly. We finished the quarter with strong backlog of $648.3 million. And when you factor in the total unfunded value of certain multiyear contracts that have been awarded to us, but which are not yet in our backlog, we have visibility into approximately $1 billion of total potential future revenue.Our gross profit percentage in Q1 of fiscal 2020 was 37.3%, which reflects an increase from the 35.9% achieved in the first quarter of fiscal 2019. The increase in gross margin percentage was almost entirely driven by product mix changes as a result of the significant period-over-period increase in net sales in our Commercial Solutions segment, which historically achieved higher gross margin percentages than our Government Solutions segment.Looking forward and no different than what we said during our year-end conference call, we expect our gross profit percentage in fiscal 2020 to be about the same or perhaps slightly lower than fiscal 2019. The ultimate percentage will be driven by final fiscal 2020 product mix.GAAP SG&A expenses in Q1 of fiscal 2020 were $31.9 million or 18.7% of consolidated net sales as compared to $31.8 million or 19.8% in Q1 of fiscal 2019. We continue to invest in marketing and sales activities and based on our current spending plans, continue to expect total GAAP SG&A in dollars to be higher and as a percentage of consolidated net sales, to be slightly lower than the 19.1% recorded in fiscal 2019. During Q1, we also refined some of our estimates associated with the repositioning of our location technology solutions. In this regard, we recorded $0.2 million of related charges in Q1 of fiscal 2020.Turning to research and development expenses. We spent $14.9 million in the first quarter of fiscal 2020 or 8.7% of consolidated net sales. Off this amount, $12.9 million was spent in our Commercial Solutions segment and $1.9 million was spent in our Government Solutions segment with the balance representing amortization of stock-based compensation in unallocated.We expect to continue investing in R&D in fiscal 2020. As such, we continue to expect R&D expense in dollars to be higher and as a percentage of consolidated net sales, to be slightly lower than the 8.4% for fiscal 2019. Total stock-based compensation expense was $0.9 million and amortization of intangibles was $5.2 million in the first quarter of fiscal 2020. Looking forward and excluding the impact of the pending UHP acquisition, we continue to expect amortization of intangibles to approximate $21 million.Our consolidated GAAP operating income for the first quarter of fiscal 2020 was $9.3 million or 5.5% of net sales. Excluding $2.4 million of acquisition plan expenses and $200,000 of estimated contract settlement costs, operating income would have been $11.9 million or 7% of consolidated net sales. Looking forward and including an additional $2.4 million of acquisition plan expenses expected in Q2, we believe that GAAP operating income will still approximate 7% of expected fiscal 2020 net sales as compared to the 6.2% we achieved in fiscal '19.Our adjusted EBITDA was $20.6 million or 12.1% of consolidated net sales for the first quarter of 2020. On a segment level, adjusted EBITDA for Q1 of fiscal 2020 in our Commercial Solutions segment was $16.6 million or 17.6% of related net sales and in our Government Solutions segment, was $8.2 million or 10.8% of related net sales.When adding it all up, we anticipate adjusted EBITDA in fiscal 2020 to be in a range of approximately $99 million to $103 million, or as a percentage of expected fiscal 2020 net sales, to be approximately 14%. As the year progresses, if order flow remains strong and we can achieve all of our fiscal 2020 goals, we might be able to achieve higher financial results than the targeted amount.Now let me talk about interest, taxes, EPS, cash flows in our balance sheet. Interest expense was $1.8 million in the first quarter. For the year, we continue to expect interest expense to approximate $7.5 million. Our current and expected fiscal 2020 cash borrowing rate, which excludes the amortization of deferred financing costs, approximates 4%.Excluding a $600,000 net discrete tax benefit, our effective tax rate was 23%, which is what we expect for fiscal 2020. On the bottom line, GAAP net income in Q1 of fiscal 2020 was $6.4 million or $0.26 per diluted share. Excluding acquisition planned expenses, estimated contract settlement costs and net discrete tax items in the first quarter, our non-GAAP net income for Q1 of fiscal 2020 was $7.8 million or $0.32 per diluted share. On a GAAP basis, as Fred mentioned, we are updating our fiscal 2020 diluted EPS target to be in a range of $1.28 to $1.42.Excluding all fiscal 2020 acquisition planned expenses, estimated contract settlement costs and net discrete tax items, non-GAAP EPS is expected to approximate a range of $1.42 to $1.56. Ultimately, fiscal 2020 GAAP EPS will be impacted by the final amount of acquisition planned expenses and other adjustments items that may occur during the year.We achieved strong operating cash flows of $5.4 million during the first quarter of fiscal 2020, while we continue to expect some buildup of working capital in fiscal 2020. Given our growth, we continue to expect to generate somewhere between $50 million and $60 million dollars of cash flows from operations in fiscal 2020. As the year progresses, we will fine tune this amount. Our balance sheet as of October 31, 2019 includes $46.9 million of cash and cash equivalents. Our total balance outstanding under our credit facility was $169 million. Our balance sheet has plenty of flexibility. And our current secured leverage ratio, as defined in our credit facility, was 1.75.Before turning it over to Mike, let me give you some additional color on the financial guidance we provided in our press release. As we have stated before, Comtech's fiscal quarters often has some unevenness or lumpiness to them. Based on anticipated product mix and timing assumptions, we expect our second quarter consolidated net sales to range from $168 million to $170 million with adjusted EBITDA ranging from approximately $19 million to $21 million.Our fourth quarter of fiscal 2020 is still expected to be the peak quarter by far for consolidating net sales, GAAP operating income, GAAP net income and adjusted EBITDA. Such targets reflect several items, the timing of which can still shift and impact our expected quarterly and annual financial performance. In addition, the aforementioned fiscal 2020 financial targets do not include the impact of the pending acquisition of UHP or the impact of any other expense we may incur in order to achieve our strategic objectives. Overall, Q1 was a great quarter and fiscal 2020 continues to look better than fiscal 2019.Now I will hand it over to Mike Porcelain. Mike?
Mike Porcelain: Thank you. Given the various global news headlines relating to political volatility and trade wars, I'm quite proud of our Q1 performance. I believe our performance is evidence of the market leadership that our products have and substantiates my belief that customers will increasingly turn to us to fulfill their needs for secure wireless communication.Let me give you some color by segment of our Q1 performance. In our Commercial Solutions segment, it was a great quarter. Net sales were $94.3 million compared to $78 million last year, a significant increase in 20.9%. Bookings in this segment were $75 million for the quarter, resulting in a book to the ratio of 0.8. Our Satellite Ground Station Technology Solutions, which consists primarily of our modems and amplifiers, both solid state and TWTA that are used in satellite communication had higher net sales this quarter as compared to last year. It was a good quarter for sales to both U.S. Government and international customers, and our Heights products continue to gain traction.During the quarter, we announced that our Heights networking platform was selected by Telefonica, one of the largest telecommunication companies in the world, for a number of their customers for a multiyear program to upgrade Vivo, Brazil and the Telefonica Argentina mobile networks in support of their 2G, 3G, and LTE cellular backhaul. We believe this contract bodes well in the Latin America market, and we hope to replicate this contract elsewhere around the world as mobile operators increasingly need systems that can handle more capacity.As we have said before, based on the anticipated increase in the number of satellites, both high throughput or HTS and LEO satellites expected to be launched, we believe that we are in the early stages of a multiyear period of growing demand. In fact, during fiscal 2020, we expect deliveries to increase on our previously received $20 million order for Ka and V-band TWTAs to support the new Jupiter high-speed satellite network.Given the increasing need to backhaul cellular traffic across remote areas around the world, we made a strategic decision this quarter to expand our Satellite Earth Station product line. Specifically, we entered into an agreement to acquire UHP Networks, a leading provider of innovative and disruptive satellite ground station technologies for a purchase price of approximately $40 million, of which $35 million is payable in cash and $5 million is expected to be paid in restricted stock.UHP is based in Canada and has developed revolutionary technology that is literally transforming the very small aperture terminal or VSAT market. For instance, UHP offers satellite modems, which can process up to 450 megabits per second of aggregate traffic processing over 190,000 IP packets per second. UHP modems have remarkably low TDMA overhead as compared to other TDMA providers.UHP's disruptive technologies were developed with a number blank sheet of paper and are unencumbered at legacy TDMA methods. In simple terms, their implementation of TDMA technology can result in a 20% efficiency over other TDMA implementations at a much lower cost. Being designed from the ground up, UHP satellites routers are truly universal and can switch on the fly between modes, using multiple configuration profiles that are built into the device. This universal flexibility allows mobile network operators to expand cell phone service to rural areas with full and highly efficient coverage.The acquisition of UHP provides a low price point within our product roadmap, and is anything we have ever offered before. Importantly, we expect to integrate UHP's TDMA technology into our industry-leading Height platform. This exciting combination provides a clear roadmap for our customers who have a variety of cellular back haul and fixed enterprise needs. Make no mistake, we are excited about the growth that we expect from this acquisition and overall, believe this product line will grow from current levels over the next several years.Now let me turn to our public safety and location technology product lines, whose first quarter of fiscal 2020 sales in aggregate were significantly higher as compared to the first quarter of fiscal 2019. Here fiscal 2020 is also shaping up to look like a terrific year. Our fiscal 2020 is definitively benefiting from our fiscal 2019 acquisitions, in particular customer reaction to our Solacom acquisition remains very positive. In fact, in November 2019, we announced that Solacom will provide call handling systems and solutions as the initial entering point for the entire country of Australia. Today, Solacom has been deployed around Australia and is expected to handle more than $8.9 million emergency telephone calls that are made there each year.During fiscal 2020, we expect to enable our version of advanced mobile location, or AML technology, in Australia. This will enable emergency services personnel to more accurately pinpoint the location of people calling from mobile devices. For those of you familiar with companies like RapidSOS, in simple terms, this is our version of it and we have big plans for it. In the future, we will roll out multimedia contact options for messaging and video calls. Over time, you will be able to leverage these technologies to our existing customers and to new customers, both in the U.S. and elsewhere around the world.The acquisition of Solacom, although occurring just less than one year ago, in my mind, is certainly a success. We are on track to meeting our objectives and we have started to cross market to Solacom technology to several legacy customers who are using older technologies. With the recent acquisition of Solacom and the GD 911 business, Comtech has emerged as one of the largest next generation 911 contract holders in the United States.As an example, during the first quarter of fiscal 2020, we were awarded an $18.4 million multiyear contract extension to provide FCC mandates enhanced 911 services to Comcast, a major U.S. Voice over IP telecommunication carrier. Such contract extension highlights our expertise for these types of solutions. Looking forward, we have a strong base backlog and growing opportunities and end market conditions remain competitive but very healthy. All-in-all, given the product leadership strengths we have in our Commercial Solutions segment, we are optimistic that this segment will grow for many years ahead.Now let me turn to our Government Solutions segment. Net sales in this segment were $76 million in Q1 of fiscal 2020 as compared to $82.9 million in Q1 of fiscal 2019. Net sales of our mission critical technologies were lower as compared to last year due to the absence of approximately $8 million of sales made last year for BFT-2 satellites terminals. As previously announced, we do not expect any such sales in our fiscal 2020.Net sales of our High-Performance Transmission Technologies during this quarter were higher than the three months ended last year, driven by increased sales of our solid state high power amplifiers and related switching technologies, as well as increased sales of our troposcatter technologies, including our Modular Transportable Transmission System or MTTS troposcatter terminals.Bookings in our Government Solutions segment for Q1 of fiscal 2020 came in at $60.6 million. As everyone knows period-to-period fluctuations in bookings is normal for this segment. In this regard bookings this quarter do not reflect the full amount of orders expected from a large U.S. Army global fuel support contract that we won, or any amount from a forthcoming multimillion dollar contract to provide troposcatter equipment for use by the U.S. Marine Corps.As announced in October 2019, we were awarded a contract with $98.6 million ceiling from the U.S. Army, which calls for our Mission-Critical Technologies product line to provide global field support services for military satellite communication terminals around the world. The field support contract covers diverse engineering and technical skills to support these satellite terminals, including logistics, help desk, network engineering, security engineering, RF and satellite system engineering and support. Through October 31, 2019, the contract has been funded at only $24.4 million with additional funding expected to occur across the 12 month performance period plus a possible six-month extension period. As such, additional bookings in future quarters are expected.In addition, we were pleased to learn that during the early part of our Q2, the U.S. Government announced that our teaming partner on a U.S. Marine Corp troposcatter opportunity was awarded a 10 year $325 million IDIQ contract. Out teaming partner announced that it intends to subcontract the manufacture and delivery of all 172 troposcatter systems to Comtech, and we are currently negotiating contract terms with them, which we expect to be finalized soon.None of the expected contract award is currently in our Q1 bookings number or our backlog. We believe this multiyear opportunity validates Comtech's market-leading troposcatter technologies and expertise, and bodes well for the future as we continue to see strong demand for these products. In summary, although still early in the year, fiscal 2020 is looking like a multi-year of growth for our Government Solutions segment.Before turning it back to Fred, I do want to reiterate a few remarks about our recent success on our go forward strategy. Our fiscal 2020 results are clearly anticipated to benefit from the greater scale, more diverse earnings and expanded participation into growing markets that we set in place over the last few years. We believe our strategy of investing in marketing, research and development and focusing on both organic and acquisition growth has unquestionably proved successful.In fact, as we sit here today, over $400 million or 60% over our 2019 revenues did not exist in fiscal 2015. Software sales are increasingly becoming more important and today, it is fair to assume that approximately 50% of our Commercial Solutions segment revenues or 25% of the total company's revenues are now software-based. To me, this is impressive.We believe our strategy of deploying cash and capital for acquisitions is also paying off. Clearly, we have successfully completed three acquisitions TCS, Solacom and GD Next Generation 911. And as announced in November 2019, we are working to complete our fourth with UHP and we have also other deals in the pipeline. From our perspective, acquisitions bring more programs, more capabilities and will allow us to achieve more profitable revenue growth than we could achieve by ourselves. Like we have demonstrated with our recent acquisitions, we only intend to do acquisitions that we believe fit into our culture and values, and ones that we believe can deliver long-term positive results for our shareholders.Finally one last comment which is a repeat from what I said back in September of 2019 when we released our fiscal 2019 results. When I sit back and look at Comtech, one key data point that I find is a great testament to our strength is our operating cash flow. Here, we generated over $185 million of GAAP operating cash flows over the last three fiscal years. Timing aside, we expect cash flows to grow from current levels and I am optimistic that our future is bright for many years to come.Now let me turn it back to Fred who will provide some closing remarks. Fred?
Fred Kornberg: Thank you, Mike. And as you heard, those truly was some positive developments that Mike mentioned that bode well for our future, and illustrate the earnings power of our business and our product leadership positions. As I mentioned previously, I am very pleased with our -- how our business is performing and fiscal 2020 is expected to be another terrific year for Comtech. I'm confident that we're looking at sustained growth for years to come.With one quarter of fiscal 2020 now under our belt, we continue to have clear visibility, lots of optimism and strong business momentum. We believe that in an environment of increasing market demand for global voice, video and data usage, customers will increasingly turn to Comtech fulfill their needs for secure wireless communications.Given our strong business outlook, our board of directors declared the dividend for the first quarter of fiscal 2020 of $0.10 per share payable on February 14, 2020 to shareholders of record at the close of business on January 15, 2020. We continue to believe our dividend program is a great way to return capital to our shareholders as we grow our business.Now I'd like to proceed to the question and answer period of our conference call. Operator?
Operator: [Operator Instructions] We'll take our first question from Asiya Merchant from Citi. Please go ahead.
Asiya Merchant: Hi, good evening, everyone and strong results, so congratulations on that. I was wondering if you could just help us understand what the impact of -- to what was organic growth in year-on-year that you guys delivered for the current quarter? And how we should think about the impact of acquisitions? I know some of them are still to be closed, UHP, et cetera. But how should we think about how acquisitions are impacting your guidance for the year -- the prior…
Fred Kornberg: Well, certainly for the quarter and year-over-year, I mean, Solacom is a very small acquisition. So you know you could think about it being a few million dollars of revenue in the quarter, with the rest being entirely organic. I think that that trend will continue throughout the year. Our guidance does include the UHP acquisition. It's not expected to close until late Q4-ish. And when we know better on the timing, we'll let you know about the impact.
Operator: And we'll take our next question from Mike Latimore from Northland Capital. Please go ahead.
Mike Latimore: Congratulations on the great quarter. In terms of the deal with the Marines. How should we think about that? Will you kind of get the deal signed this quarter and then it shows up in booking this quarter? How should we think about bookings growing for that potential that would be helpful?
Fred Kornberg: I think we expect to sign the contract with our partner of this quarter.
Mike Latimore: And any kind of way to frame the opportunity for you within the broader contract…
Fred Kornberg: Yes, I think as everyone knows, the contract for both our partner and ourselves is $325 million over 10 years, and we believe that's just the start for 172 terminals. I think if I were to give approximately the amount that the partner will have and we will have, I think it's somewhere probably -- it will turn out to be somewhere about half-and-half. So I think our expectations would be to eventually get into about half the contract.Now having said that, the first portion of the funding that's available to us right now is slightly different, we are the sole hardware supplier for this program other than the antenna. That means we supply everything else in terms of product base whereas our partner provides the miscellaneous stuff, like training, any of the IP designs and so forth and so on and also provides the antenna as well. So having the first $30 million of funding, the government has decided to kind of buy, I believe its 30 terminals. So we will have at least a portion of 30 terminals to supply, and there will be a lot of the training and portions of the contract upfront, which probably will result in our getting maybe $12 million to $14 million of the $30 million.
Mike Latimore: And then in terms of the -- just kind of the mix commercial versus the government this year or maybe there's longer-term view. You know, what -- how should we think about kind of that mix overtime?
Mike Porcelain: Right now, you know if you go back to last year where we did about 53% on the commercial side, just with pure expectations of growth, we think that that will start to neck up from 53% maybe I guess to 55% or so for the year. And that is again without the impact of the UHP acquisition, maybe 55%, 56%. But I think on a trajectory path, we're seeing tremendous growth, underlying demand I guess is the better word, in terms of our commercial product. So at some point, yes, depending on the timing of large U.S. government contracts that could always change the percentage. But right now, we think the commercial business, which is -- has a higher percentage of profitability, is sort of increasing, I guess, at a slightly faster rate than the government business.
Operator: Our next question is from George Notter with Jefferies. Please go ahead.
Kyle McNealy: This is Kyle on for George. Thanks a lot for the question. I guess I want to circle back to the comments you made about organic growth ex-acquisitions. Is there -- so the GDIT acquisition, is there revenue from that in this quarter and if so? How much would that be and should we be thinking about that in the overall math exercise around organic growth?
Mike Porcelain: I mean, that's just organic growth. I mean, you're right. Remember Comtech announced that it we won $100 million contract from the Commonwealth of Massachusetts for five years. And in connection with that win, we bought the employee base of General Dynamics. I mean so -- we won that contract. So again I think from that perspective just on acquisition related, so the only true impact to our results this year from our perspective is the impact of the Solacom acquisition, which I could say is a couple of million dollars of revenue this quarter, but it's certainly growing at a rapid rate.
Kyle McNealy: So there was GDIT revenue in the year ago October quarter, if we look at the top-line results?
Mike Porcelain: Yes, it was revenue in this quarter. Yes, absolutely.
Kyle McNealy: In the year ago October quarter?
Mike Porcelain: No, we didn't win the contract until Q3, [Mike]. So we won it in April. So Q4 had revenue associated with that contract. But if you might remember, the $100 million contract that we announced actually started August 1, 2019. So the revenue from that $100 million contract didn't start until this quarter.
Kyle McNealy: So sequential growth, it should be well in the numbers year-over-year we may need to do a little math on that. Okay, fair enough. So commercial was a lot stronger this quarter than you'd expected. Do you expect the next to flip back the other direction, considering there wasn't a big change in the total top line guidance for 2020?
Mike Porcelain: No, I think our Q2 and Mike gave out the numbers. I think our Q2 for the moment is going to be almost exactly what we did our Q1 at the numbers that he gave us.
Kyle McNealy: So should we expect the Government Solutions mix to remain a bit lower than I guess we had been expecting kind of around the level of it's been in Q1 and into Q2?
Mike Porcelain: Yes, I mean, again, I would say look at it from a year perspective. I mean, our business still changes quarter-to-quarter. We can have changes just between quarter based on fielding schedules and deliveries. But I think for the year, we're expecting the government business to be somewhere around 44%, 45% or so of revenue for the year. And yes, I mean Q2, in aggregate, is going to look a lot like Q1 did.
Kyle McNealy: And then thinking about gross margin. Can you give us a sense for the rest of 2020 on a segment level and whether there's any change there? I know you had been talking about flat to slightly down, mostly in the commercial segment due to kind of the Heights' ramp and some of the AT&T revenue coming out, and then I guess government being stable to the balance of the year. Is generally consistent with the way you think about it now, or is there anything here to call out there?
Mike Porcelain: It's fairly consistent with how we were thinking about it last quarter as well.
Kyle McNealy: And then one last one, book to build trends, seem like they're -- I mean you made the comment about lumpiness. But it seems like they're a bit slower year-over-year. Have you seen them pick back up since the close this past quarter? What's driving the bit of the slowness? Do we need to kind of see some of these big backlog items enter the order flow before we see that pick back up?
Mike Porcelain: No, I wouldn't describe our bookings as slow at all. In fact like I said, our bookings this quarter have two large contracts that we're aware of that just from a timing perspective, aren't in the quarter. So there are a number of large opportunities that are out there. Two of them we've actually announced since then. So I will not get caught up on any particular quarter number. But we definitely feel we're on track for in excess of [10] for the year.
Kyle McNealy: One last thing, the troposcatter program, being a 10 year program. Do you have any expectation for whether that’s front end loaded or flat throughout the 10 year program period? Anything you can give us about when it starts or what the trajectory might be? I would expect that it could have the chance to be front end loaded.
Mike Porcelain: Well, we think from the initial hardware that Fred was talking about, we're expecting some of that to kind of be in our Q4 of this year from a timing perspective. And then yes, it's just something that we have to work through with our partner and the government on the rest of the deliveries. But it would be too pretty premature to talk about how that's going to work at.
Operator: [Operator Instructions] It appears there are no further questions at this time.
Fred Kornberg: Okay. At this point, I want to wish a happy holiday and a happy New Year to our loyal customers and business partners, our dedicated employees and business unit leadership teams, our Board of Directors and our shareholders. And thank you again for joining us today. We look forward to speaking with you again in March. Thank you very much.
Operator: That conclude today's program. Thank you for your participation. You may disconnect at this time.